Operator: Good day, everyone, and welcome to the Eastman Chemical Company Second Quarter 2011 Earnings Conference Call. Today's conference is being recorded. This call is being broadcast live on Eastman's website, www.eastman.com. I will now turn the conference over to Mr. Greg Riddle of Eastman Chemical Company, Investor Relations. Please go ahead, sir.
Gregory Riddle: Okay. Thank you, Tricia, and good morning, everyone, and thank you for joining us. On the call with me today are Jim Rogers, Chairman and CEO; and Curt Espeland, Senior Vice President and Chief Financial Officer. Before we begin, I'll cover 3 items. First, during this call, you will hear certain forward-looking statements concerning our plans and expectations for third quarter and full year 2011. Actual results could differ materially from our plans and expectations. Certain factors related to future expectations are or will be detailed in the company's second quarter 2011 financial results news release on our website and in our filings with the Securities and Exchange Commission, including the Form 10-Q filed for first quarter 2011 and the Form 10-Q to be filed for second quarter 2011. Second, except when otherwise indicated, all financial measures referenced in the call, and in the slides accompanying the call, will be non-GAAP financial measures, including earnings per share and operating earnings that exclude restructuring related charges. A reconciliation to the most directly comparable GAAP financial measure and other associated disclosures, including a description of the restructuring-related items are available in our second quarter 2011 financial results news release and the tables accompanying the news release. Lastly, we posted the slides that accompany our remarks for this morning's call on our website at www.investors.eastman.com, and you'll find those in the Presentations & Events section. With that, I'll turn the call over to Jim.
James Rogers: Thanks, Greg, and good morning, everyone. If I sound a little funny, I just have a little cold. I'll tell you what, I want to start out, first, by saying that even though we're only 5.5 hours from Washington, D.C., we want to assure all our friends and family that we're still healthy. We're fine. We're not in any personal danger. The plume of radioactive ridiculousness is not blowing our way. The tsunami of surrealism has not seemed to have breached the levy, called the Beltway, at this time. And we only have one plan here. I've yet to -- I've never failed in getting the votes I need to implement that plan of growth. Now I can't vouch for the levy on the New York side of D.C., because as we announced, record earnings, not only for the company, as a whole, and for each of the businesses, as we raised our guidance for the year, as we put a foundation in place for double-digit earnings growth year-over-year. I see we're indicated lower, while United States government, which is indicating bankruptcy and failure to meet its obligations, people are piling into their short-term notes. So I can't vouch for the levy in the north side. And since all that was unscripted, and my lawyers are probably screaming in their feet. I'll stop there and pick it up on Page 3. Beginning with a review of our performance against some of our recent outlook statements. Our second quarter guidance was that our EPS would be slightly above first quarter EPS of $2.52, and we delivered on that. Guidance for full year 2011 was that we would report EPS slightly above $9. We're off to a great start with 2 consecutive record EPS quarters. In the second half, we expect to continue to deliver year-over-year earnings growth. And as a result, we are raising our outlook by $0.25. As expected, our very strong earnings performance is translating into cash flow. We're on track to generate approximately $200 million of free cash flow this year. And I hope you'll agree, we've been disciplined on how we allocate our cash. We put cash to work this quarter in a number of areas. And we'll talk about that throughout our remarks this morning. Bottom line is that we've had a fantastic first half of the year. We're on track for a great full year 2011. And I remain confident that we are well positioned to deliver earnings growth in 2012 and beyond. Moving next to Slide 4, and our corporate results for the second quarter. Second quarter EPS was a record. And this is the second consecutive quarter that we've set an EPS record. In fact, we've set a quarterly EPS record for 3 of the last 4 quarters. In addition, this is the eighth quarter in a row of year-over-year earnings growth, and we expect to continue this performance in the second half of this year. Sales revenue in the quarter was also a record, driven by higher selling prices and strong volume growth. Prices increased in response to higher raw material and energy costs and also because of tight industry supply. Volume increased throughout the company and in most regions. This level of earnings reflects the contributions of 10,000 employees around the world, the improvements we've made in our portfolio of businesses and products, and it reflects the benefits of our geographic and end-market diversity. Many of you have heard me say we know who we are, and we like who we are. With these results, you see why I am comfortable saying that. Moving next to the segment, starting with CASPI on Slide 5. CASPI had another outstanding quarter with record revenue and operating earnings. Year-over-year revenue increased due to the higher prices and higher volume. The prices were due to higher raw material and energy costs and also attributed to strong demand and a high capacity-utilization rate in the industry. Volume increased primarily in the U.S. in the packaging, transportation and durable goods markets. Sequentially, revenue was up 5%, primarily due to higher selling prices in response to higher raw material and energy costs. Volume was flat as seasonally higher volume was offset by some softening in the Asia-Pacific region, which began in June and has continued into July. But I want to stress that we are seeing signs that these areas are now stabilizing. Operating earnings increased to a record $99 million, and the operating margin was a solid 20%. Earnings increased over a strong second quarter 2010 due to the higher selling prices and higher sales volume. CASPI also benefits primarily in our solvents product lines from cracking propane to produce propylene at low cost. Sequentially, operating earnings increased slightly, primarily due to higher prices. So looking at the full year, we continue to expect that CASPI will have operating earnings above $350 million, which indicates we expect a strong second half of the year, higher than the second half of 2010. One other item of note in the quarter for CASPI. Earlier this month, we acquired Dynaloy, a small electronic chemicals business that manufactures formulated solvents, with a particular focus on semiconductors. Dynaloy brings a strong market connect and material science capability that are complementary to our own. And they will be a great enabler to growing our CASPI electronics and materials product lines. Fibers is next on Slide 6. And they once again delivered a great quarter with record earnings and revenue. Revenue was up 21%, due primarily to higher acetate tow sales volume as the Korea facility is now running at capacity. Pricing was up 5%, as the full impact of the annual price increase for acetate tow is reflected in the quarter. For the year, Fibers remains on track for operating earnings of approximately $340 million, which would be the eighth consecutive year of operating earnings growth. Next up is PCI on Slide 7. And you probably recognize the theme at this point. PCI had record operating earnings in line with our first quarter. Year-over-year sales revenue increased due to higher selling prices and higher sales volume. Selling prices increased in response to higher raw material and energy costs and also because of tight industry supply. Volume was up due to growth in plasticizers, customer buying patterns for acetyl chemicals and the restart of a previously idled cracker. Sequentially, sales revenue was up 5% due to higher selling prices in response to higher raw material and energy costs. Operating earnings increased year-over-year due to higher prices and volume, plus the benefit of cracking propane to produce propylene at low cost. Sequentially, operating earnings were flat, as it benefit North America from the improved olefins cracking spread and customer buying patterns for acetyl chemicals was offset by softening in Asia-Pac for our oxo chemicals and other olefin derivatives. In Asia, we saw the softening begin in June and into July. And as with CASPI, we've recently seen signs that it is stabilizing. For the year, even with additional costs related to planned and unplanned shutdowns that I'll talk more about in a minute, we continue to expect PCI to have operating earnings above $300 million. Specialty Plastics is on Slide 8, and they are on pace for a new level of earnings in 2011. Second quarter sales revenue and operating earnings were both records. Revenue increased due to higher selling prices, which more than offset higher raw material and energy costs. Operating earnings increased primarily in Asia-Pacific and in Europe due to the higher selling prices. Earnings were higher than we expected in the quarter, primarily because of results of our growth initiatives, and Asia-Pacific were above expectations, and because paraxylene costs didn't go up as much in the quarter as we expected. Looking at the full year, Specialty Plastics assets are currently running at high utilization rate. And as you know, we have a number of capacity additions coming online in 2012 that we will grow into. In 2011, we are focusing on valuing up our mix of products, and I've talked about this before, not just for Specialty Plastics, but also for PCI and for CASPI. Valuing up the mix helps Specialty Plastics in the first half of the year, and we expect it to continue in the second half as well. With the outperformance in the first half of the year and an expected strong second half of the year, we are increasing our outlook for Specialty Plastics to approaching $120 million of earnings compared with our previous guidance of approaching $100 million. That brings me to our regional performance on Slide 9. And you can see from the chart how our geographic diversity is a source of strength for us. Our highest revenue growth in the quarter was in Europe, due primarily to both higher volume and price. The higher volume was particularly for plasticizers and PCI. North America had the next highest revenue growth due to higher prices and volume. And PCI had the highest volume growth in North America, in part due to the cracker restart. Asia-Pacific revenue increased 23%, primarily due to higher prices, higher volumes and a favorable mix shift in fibers, basically more tow. For the last several quarters, we've said that although sales revenue was split about 50% in North America and 50% outside of North America, operating earnings were split closer to 40% in North America and 60% outside. In this quarter, it was closer to a 50-50 earnings split due to the benefit of the increased cracker spread in North America. On Slide 10 is our outlook for third quarter and full year 2011. In the first half of the year, we grew earnings year-over-year by over 50%. We expect continued year-over-year earnings growth in both third and fourth quarters and for the second half as a whole. We also expect a normal seasonal decline in our sales volume in the second half and for raw material and energy costs to remain volatile. In addition, we will have costs related to planned and unplanned shutdowns in the second half of the year that we expect to be approximately $25 million higher than they were in the first half. These are costs for an issue we are currently having with one of our Texas olefin cracking units, and that problem then impacts the shutdown we have planned for the largest of our 3 crackers. We, also, are bringing down our Kingsport coal gasification facility in the second half of the year for a planned shutdown. And we have shutdowns in Specialty Plastics in order to bring their new capacity expansions online -- Even with these higher costs, we expect third quarter EPS to be slightly higher than last year's third quarter EPS of $2.22. And I want to remind you that third quarter last year included $0.19 per share related to the partial settlement of an insurance claim related to a power outage at our Longview, Texas, facility. For the full year, we had previously said we expect that EPS to be slightly higher than $9, and we're increasing that to slightly higher than $9.25 for the year. And now for the minute, I call the CEO spotlight, and I typically highlight an Eastman executive, just to remind people that we have a deep bench here at Eastman. This time though, I thought I'd do something different and provide some info on Eastman's operators, some of the most experienced, dedicated professional chemical workers in the world. So just some fun facts here. Our average operator is 46 years old, has education beyond high school level, has nearly 20 years experience, with the longest tenure having over 47 years at Eastman. Their job is highly respected in their community and highly sought after. As an example, in an opening in Kingsport that we posted on May 2 of this year, received 908 applications in 24 hours. And I can remind you, Kingsport is not a huge town. Roughly 15% of our operations are female, and our folks tend to retire in the same community as they worked. Because of this, it's not unusual to have more than one employee from the same family, including across generations. In fact, I personally know 2 people, Senior Team Manager, Lori Garrett; and Government Relations Director, Charley Poe, who are fourth generation employees. And after this segment, I'm sure I'll hear about others. So the Eastman operator's an important reason for our success, and I just wanted to give them some air time. And with that I'll turn it over to Curt. Curt?
Curtis Espeland: Thanks, Jim, and good morning, everyone. And I know it's been a long earnings season for many of you. So let me just focus on a few slides this morning. I'll start on Slide 12. And you'll see here the financial highlights for the quarter. You can see that the record earnings we are delivering are translating into strong cash flows. Cash from operations of $207 million included a $55 million estimated cash tax payment for the gain on the sale of PET business, which we're completed in the first quarter. For the year, we expect total tax payments for the gain on the PET business sale will total approximately $110 million. Our tax rate at the second quarter of 2011 did benefit roughly $0.07 per share from the recognition of additional state tax credits we expect due to the increased level of capital spend at our Kingsport site. For the remainder of the year, we expect our effective tax rate will be approximately 33%. Working capital was up slightly for the quarter, consistent with our expectations, and we continue to expect it will be a source of cash in the second half of the year. Our free cash flow for the quarter, which excludes the cash tax payment related to the sale of the PET business, was $120 million. I continue to expect our free cash flow for the year will be approximately $200 million, meaning that we expect to generate over $350 million of free cash flow in the second half of the year. At the end of the quarter, we had $834 million in cash and short-term time deposits, and our net debt-to-capital ratio at the end of the quarter was at a conservative 29% level, particularly relative to our credit rating. Next on Slide 13 is how we're putting our cash to work. We continue to take a balanced, disciplined approach that is creating value for stockholders. In build, we spent $109 million in capital expenditures in the quarter. We continue to expect capital expenditures for the year to be over $450 million. We are on track with the 5 major capacity additions that I spoke about the last call. These are, in turn, a component of our earnings growth expectations in 2012 and 2013. Over in joint ventures and acquisitions, we've been busy. I'll speak more about the Sterling acquisition in a minute. And as Jim mentioned earlier, we closed on Dynaloy earlier this month. And while they are small, they will be a great addition for us, as we continue to grow our electronic materials business in CASPI. We have a number of other projects in our pipeline, and I expect there'll be more activity in the second half of the year. Next, in equity, our share repurchases totaled $103 million in the quarter. And we're at $177 million in the first half of the year. We have $239 million remaining on our existing board authorization. And we are well on our way to more than offset dilution for the year. I'll also add that we continue to pay a healthy dividend. And that while a quarterly dividend is a board decision, it is reasonable for investors to expect the dividends increase, as our earnings increase. Lastly on debt, we are in good shape. You may recall we restructured some of our debt in the fourth quarter of 2010 at very attractive interest rates. We have $150 million of public debt coming due in 2012 and nothing materially to deal with until 2015. An example of what we're doing in the joint ventures and acquisitions is the Sterling acquisition, summarized here on Slide 14 that we announced about a month ago. You'll recall that in May 2010, we completed the acquisition of Genovique Specialties, a leading producer of non-phthalate plasticizers. With that acquisition and our own Eastman 168 non-phthalate plasticizer, we became the largest manufacturer of non-phthalate plasticizers in the world. Our acquisition of Sterling will further support our strategy. Sterling has plasticizers assets that will convert to Eastman 168 non-phthalate plasticizers. We expect the facility will be fully converted in second -- in 2012 and ready to meet demand growth in 2013. Sterling also has an acetic acid business, which has a long-term contract with relatively stable revenue and earnings. The purchase price is approximately $100 million in cash, and we expect the transaction will close in the third quarter. Excluding costs and charges related to the acquisition, we expect the transaction will be slightly accretive to 2011 earnings per share. In 2012, we expect it to be accretive above our cost of capital. And what I mean by that is that we expect earnings by the acquired businesses to be above the cost, if we had gone to the capital markets to fund the transaction rather than using our cash, which in the current environment is earning very low interest rate. We expect the acquisition to be accretive well above the cost of capital as the plasticizers assets start materially contributing in 2013 as expected. Given the demand growth in non-phthalate plasticizers, our leading position in the non-phthalate plasticizer market and a steady revenue earnings streams from the ascetic acid business this acquisition makes a lot of sense for Eastman, as we are logical, highest and best owner of the business. As I close, let me also reiterate a comment Jim made earlier. With the strength of our portfolio of businesses, the earnings of potential various growth initiatives underway and the expected benefits of disciplined capital allocation, I am also confident we are well positioned to deliver earnings growth in 2012 and beyond. With that, I'll turn it back over to Greg.
Gregory Riddle: Okay. Thanks, Curt. And this concludes our prepared remarks. Tricia, we are ready for questions.
Operator: [Operator Instructions] And we'll take our first question from Kevin McCarthy with Bank of America.
Kevin McCarthy: Jim, over time, the profitability in your PCI segment has tracked fairly well with the spread between the cost of propane and propylene linked selling prices there. That spread improved in the second quarter, and yet your profit trended flat sequentially. I was just wondering if you could elaborate on that. Was it attributable to the softness that you mentioned in Asia in the back of the quarter? Or were there other factors at work there? And what would your outlook be, entering 3Q?
James Rogers: PCI did have another great quarter even though it didn't get all the bump you would have expected from the spread. And give me a chance to make one comment. I think, probably, those outside the company underestimate just how much work we've done in developing our downstream products and our derivatives. And these are more stable, they don't bounce around the same. I tried to talk about how you don't capture the spread every day when you're dealing with derivatives. So it's not like we're just pushing propylene out the door. So that's part of it. I expect a more stable business, where you give up some of the upside and the spread widens, but you don't move down 100% when the spread tightens either. Asia was a part of it. We, actually, had our Singapore site down for a few days, planned but still down, in Asia. We talked about the softening in the oxos and butanol 2-EH NPG. That was more in June. I said it's stabilizing here in July. Frankly, you never know if it was just inventories that the customers are moving around or if there was really in demand. We really just don't have that kind visibility. I can just tell you it's not continuing to decline. And we did have an unplanned outage with one of our crackers in Texas. And that nipped us a little bit in the second quarter as well, and that happened in June. Just for a little bit update on that, we're obviously checking that several times a day. We have brought it back up. It's running about 85%. This was a vibration issue, by the way. So it's one of those things, where it takes a little more time, you want to do it safely. But it's back up to 85%, which is a good thing, because at that level, we can go ahead and do the turnaround we wanted to on our cracker 4. And we'll be doing that one shortly here in a week or 2. And when that -- when cracker 4 comes back up at a turnaround, it'll have more capacity. And it's been running at probably about 85% as well. So a little hiccup there on the crackers that nipped us a little bit in the second quarter. We're going to feel that again in the third quarter like we talked about, and a little will dribble into the fourth quarter even potentially. But overall, I mean, I can't -- I don't have a lot to complain about. That business has just been going great guns. And just a final word on that, when you try and tie it to the spread, PCI's performance, some of that's just plain coincidence. I mean, there's a lot to PCI, when you talk about their plasticizer business, good margins, good growth. You think about their acetyl business, et cetera. So as I look at PCI, even though it's the most cyclical part of Eastman, we're trying to continually take that out and move more product downstream. So I'm sorry, it's a long answer to your question, but I want to get all that color and about the cracker.
Kevin McCarthy: That's helpful, Jim. I appreciate it. And the cracker you're referring to is the HCC-3 cracker that started up earlier this week?
James Rogers: Yes.
Kevin McCarthy: Is that correct? Okay. Great. And then just to follow up on plasticizers, you mentioned you'll be converting some of the Sterling capacity. At what point in 2012 can you get that up and running? And maybe you could size it -- size the increment for us relative to your existing base?
James Rogers: So let me -- let Curt help me out here, so I can save my voice. Go ahead, Curt.
Curtis Espeland: Well, if you look at the Sterling acquisition, there's a few components of the startup of the plasticizer that we still have to work out. And we've got to close the transaction first before we can work out those final details. So right now, I'd just say, it is going to be sometime in 2012. From the sizing of that asset, I mean, 2 components. One, it does have an ascetic acid business. I'd call that roughly $100 million of revenue. And I think when the PGS that comes up in the sum and it could add over a couple of hundred million dollars in revenue.
James Rogers: So -- but let me add this too. Because we haven't closed on the deal yet, so we can talk more when we actually own it, but I'm glad we found this one. I mean Eastman, in my mind, is clearly highest and best owner of this business. We can pay very good price to their current shareholders. And yet, because we have kind of a particular way of using the assets that they were not running, I think we can create quite a bit of value for the Eastman shareholders as well.
Operator: We'll take our next question from P.J. Juvekar with Citi.
P.J. Juvekar - Citigroup Inc: Jim, you talked about the slowdown in China, can you tell us what particular end markets or what products slowed down for you?
James Rogers: Yes. Let me hop in there. So I mentioned the oxos just a minute ago. They were all -- so I'd say the solvents in CASPI were probably the other area. By the way, don't let me portray this like Asia had a bad month in June. It actually, overall, had a very good month. A bright spot, for example, would be Specialty Plastics, which have taken this opportunity to really upgrade their mix in Asia. So I mean, they got volume pretty much around the globe, but in Asia, they were also able to get price and really value up from the products they were selling. And that's just what you would expect to do in a tight market. But the places where things were slowing down was really solvents and then on the oxo side. And like I say, we've see that stabilize in July, which may lead you to think, maybe it was just, forgive me, inventory maneuvering. But I can't say that for sure, because it could have had some final demand influencing that as well.
P.J. Juvekar - Citigroup Inc: Okay. And then a couple of years ago, you tried to build a coal gasification in the U.S. I was wondering if you can take expertise to China, given that some of your competitors are already there or getting there in coal gasification?
James Rogers: Yes. I think that would be -- as you look down the road for Eastman, I think that would be a higher probability scenario, certainly, than trying to come back to the States. I mean, China does have huge coal supplies. More than likely, there's a kind of coal that would work well, or the way we do gasification. You have to always solve the water issues. Requires a lot of water, and that's something that's a bit of a constraint. But yes, I would expect that, that is the kind of gasification project we should do would be a place more like China. But you know us, we're not just going to make some big announcement and jump into something. We're going to think everything through, because there's advantage raw materials in other parts of the world as well?
P.J. Juvekar - Citigroup Inc: And just lastly, I think you answered this partially, about the seasonality. Both CASPI and PCI earnings were flat. Shouldn't you see some improvement in 2Q over 1Q?
James Rogers: Yes. Well, as you might imagine, we talked about that internally as well. I mean, again, a couple of things go through my mind. We had a really strong first quarter. I know that there were price increases, April 1, that probably pulled some Q2 sales into March. At least we know that now. March was incredibly strong. So typically, you're right. I would have looked for a little more. But again, we had debt softness in Asia, we had a strong first quarter, fantastic results still in all the businesses. I mean, when guys are setting a record, it's hard to beat them up. So I'm not concerned by that at all. I can see the business model for each of these 4 businesses is intact. I have high degree of confidence in our ability to perform the way we are predicting.
Operator: We'll take our next question from Duffy Fischer with Barclays Capital.
Duffy Fischer - ClearBridge Advisors: Just a follow-on, the dip you saw in a couple of businesses in June and July, then you said you're starting to see some signs of uptick. Can you kind of walk through what are those? What are the guys telling you out in the field that gives you some confidence that things are coming back in Asia?
James Rogers: Well, it's -- again, it was only in a couple of areas. When we say stabilizing, we're just saying it's not declining. In other words, the orders are coming back in. I'm not -- the reason I used the word stabilizing is because it's not back to the level it was before we saw the downtick, but it's not continuing down. So that's really all I mean. And I hope people don't read too much into this. I know everyone's looking for indications of how China's doing across broad markets. I'll just tell you that our China -- our earnings in China in June were very strong. But we had these 2 areas we wanted to point out. Because I know everyone's looking for the canary in the coal mine when it comes to China. So that's really all it was. So I don't want you to read too much into it. We just want to share with you that oxo market was loose, and it seems to be stabilizing. And the solvents market which, of course, would affect coatings. It was also weaker demand and -- but we've seen that stabilize.
Duffy Fischer - ClearBridge Advisors: Okay. And then in PCI, you talked a little bit -- the volume there was up 10 percentage points more than kind of the other segments. And you talked a little bit about the olefins cracker coming back, but you also had one that was down for a while. Can you dig a little bit deeper into why the volume was so strong in PCI in the quarter?
James Rogers: Let me ask Curt to comment on that.
Curtis Espeland: Well, when you think about the volumes for PCI, if there's a cracker issue, it doesn't mean we don't sell the same volume. We just end up having to buy some of our raw materials rather than making the raw materials.
Gregory Riddle: I'd just add one thing. You've got Genovique. You have a full quarter of Genovique in the second quarter of 2011. You only had it partially in second quarter 2010.
James Rogers: And we didn't have the cracker running at all in the second quarter of 2010. We brought that up end of the year.
Duffy Fischer - ClearBridge Advisors: And then just the last one. On the Sterling acquisition, will you get access to the technology that Sterling was running so you can kind of mix that with your own acetic acid technology and maybe make both better?
James Rogers: No, we should be clear on that. The technology that runs there is owned by BP. We will simply be tolling that asset for them. I mean, I'll just make a joke, and that's part of the reason BP is comfortable with us running those assets, because they trust us. They know that we'll respect that wall.
Operator: We will take our neck next question from Edlain Rodriguez with Gleacher & Company.
Edlain Rodriguez - Gleacher & Company, Inc.: Quick question. I mean, in terms of the improvements you saw in CASPI and PCI, can you talk about what the benefits of the spread. I mean, can you qualify that -- I mean, quantify that?
Curtis Espeland: Well if you look at -- if you're talking, specifically, second quarter -- and I'd say second quarter over first quarter, we saw roughly a $15 million benefit from the improvement of spreads and that could split roughly 60-40, 50-50 depending on propylene or ethylene. But that's how you split it between PCI and CASPI. As Jim mentioned, in PCI that benefit was offset by some other factors, driving sales and offset -- CASPI have some offset as well.
James Rogers: Just to jump in on that, I mean -- and to speak about spreads more broadly. It gives me a chance to brag on, once again, the business. I mean, when we started the second quarter, we were guessing that we would have maybe $35 million to $40 million increase in raw material costs across the whole company. Remember, first quarter over fourth, we had $75 million increase in raw material costs. We had close to $100 million increase in raw material costs second quarter over first quarter, and yet, we still managed to hold on to our spread through all that.
Edlain Rodriguez - Gleacher & Company, Inc.: Another quick question on propylene. I mean, propylene prices have been coming down. Does that mean you're going to have to give up some of the pricing that you had obtained in the first half of the year?
James Rogers: It's really market by market, but if I'm going stay true to my words, there's several places where we're really not pricing off that propylene. As its derivatives get further downstream, you refer to it less and less. But obviously, the same way we can move price when the raws go up, we may have to move price when it goes down. I continue to reemphasize that what we focus on is spread.
Duffy Fischer - ClearBridge Advisors: Okay. And one last question. On that $25 million of costs for unplanned outages, what's the split there between the segments? Is it going to be all in PCI and CASPI? What's the split there, the impact?
James Rogers: To be clear, the $25 million we specifically called out was additional shutdown costs from the planned and unplanned second half versus first half. But having said that, you're not far off on the cost of the unplanned, when you pick up a little bit in the second quarter and what came in the second half. I'll let Curt give you as best we can.
Curtis Espeland: I mean, it gets across to various businesses. I mean, as you know, a chemical company like Eastman does have planned shutdowns. If I look at first half of the year, we had probably less than $20 million of costs associated with shutdowns. That would have been the Singapore plant Jim talked about, et cetera. If we look at the second half of the year, we knew there'd be some planned shutdown costs greater than what we saw in the first half, just because we have shutdowns in the fourth quarter tied with our capacity works, and the like. And that's -- an example's Ireland.
James Rogers: But the unplanned typically gets split between PCI getting the biggest piece of that cost. Because what you're doing is you're buying propylene instead of making it, and CASPI would be next. And Specialty Plastics even picks with $0.01 or $0.02 of that. So it would mainly be felt in PCI, but CASPI, what also get a pretty good share.
Edlain Rodriguez - Gleacher & Company, Inc.: Of the unplanned?
James Rogers: Yes, of the unplanned.
Operator: We'll go next to Dave Begleiter with Deutsche Bank.
David Begleiter - Deutsche Bank AG: Jim, very strong earnings in Specialty Plastics, but why are they down in the second half of the year versus first half?
James Rogers: They've always had a bit of seasonality, I think. I can go back and check the numbers. Part of that, too, is when you have just such a strong first half. As I look at it, I understand some of the things that are going on. And, again, it is harder for you to see. So we know we're going to be shutting down some of our assets to tie in these capacity expansions. I know in many of the markets they're pretty much sold out, and so it's all a matter of improving mix and we did a lot of that in the first half. But third quarter's not going to be off by much from second quarter. And then the fourth quarter for this company, everything seems to always come off some, which is just what we've learned to deal with. And Specialty Plastic's no exception.
David Begleiter - Deutsche Bank AG: And Jim, any update on the plans for the fourth cracker down in Texas?
James Rogers: Yes. I'm glad you asked -- I mean, because I know I mentioned that last time. You might think, what in the devil were you guys doing? So there's a couple of smaller things we can do. What we did -- let me back up. We did put a team in place to look at this. While it's not huge for Eastman, it's still -- it's a nice goodie we have, that we have these crackers down in Texas. And so we put a team in place to look at how we optimize that. You know that -- I think, we got out ahead of the crowd in restarting the cracker when we did, since it was online even last year. There's a couple of smaller things that we can do. Smaller projects, smaller meaning that it may add $10 million to $20 million in earnings. 30% plus kind of returns. Those are the kind of things we're going to get started on right away, and they'll start to kick in towards the end of next year, I guess, you would say. We'll see how we do, probably towards the end of next year. On the bigger issues about just restarting the one cracker that's down. Our view of the markets and such is that it's going to make sense for us to do something of size, let me put it that way. And whenever I say of size, meaning I got to go to my board to get them to approve it. Starting the cracker would be of size. But there's more than one option on what that bigger thing would do. So we're doing some of that preliminary work to pick which of the bigger things we'd like to do. And, of course, I will throw the caveat out there. It depends also what else you're doing with your cash in terms of what you go ahead with. But my instinct says, yes, we're going to do the small ones, they'll be good for us. And they'll probably something bigger we'll do as well. And we'll try and update you on that before year end.
David Begleiter - Deutsche Bank AG: And Jim, just lastly, on the M&A pipeline, can you give us any update, either color or such?
James Rogers: Yes. And Curt may want to chime in, although we usually work pretty well behind on this. We continue to think we can put money to work. I mean, you heard much cash Curt said he had. And all these - I'd like to remind people, all these earnings forecasts and stuff we do, there's always upside, in terms of how else we can push this cash to work. So I'd say the pipeline is looking pretty good to me in terms of having options. We can actually start to choose between what we go after, as compared to maybe 1.5 year, 2 years ago. It was hard to find something that someone wanted to shake loose. You see the size of ones we've done. We could do bigger than the $100 million, $150 million, but the truth is, the sweet spot in the pipeline for where you get the most ideas and can drive the value you want is probably those small to midsized bolt-ons that fit with one of our businesses. But I always say, I reserve all my rights. If we were to do something bigger, it would have to be exceptionally good, and it would have to be kind of a no-brainer for the Street. But the odds are that what we're getting done are the small- to medium-sized bolt-ons. And so we've got Sterling that we're trying to get closed. And I would expect we'll have more announcements before year end.
Operator: We will take our next question from Robert Koort with Goldman Sachs.
Manav Gupta - Goldman Sachs Group Inc.: This is Manav. Just a quick question, you are still net buyers of propylene right?
James Rogers: Yes.
Manav Gupta - Goldman Sachs Group Inc.: So if the propane/propylene spread actually comes down, because the propylene prices are declining? Do you actually tend to benefit from it? Or is it just the other way around?
James Rogers: It's usually the other way around. And it has to do with the more dominant impact of the pricing on the products, driven by the higher propylene versus the amount that we actually buy.
Manav Gupta - Goldman Sachs Group Inc.: And how much are you actually buying right now?
Curtis Espeland: It's about 2/3 and 1/3. So I don't have the number for you.
James Rogers: We make 2/3, and we buy 1/3. We had stayed a little bit because we've had some cracker issues. So we've been buying a little more propylene than we'd like to have to buy lately. But we're typically in the 60%, 70% -- in the 70% make and 30% to 33% buy.
Manav Gupta - Goldman Sachs Group Inc.: And the next cracker, which you're for taking down for planned outage, what's going to be the duration for that one?
James Rogers: It's a typical turnaround. And those are usually 10 days to 2 weeks if you do it well. And I would expect we'll do it well.
Manav Gupta - Goldman Sachs Group Inc.: And on the pricing side of the acetyl stream, what kind of prices are you looking at? Are they holding up pretty well, or that's slightly coming down at this point?
James Rogers: Well, again, I'm not sure how familiar you are with us. But we're -- when you think acetyls, if you're thinking acid, that's not really all that important to us. So we're more of the anhydride and derivative kind of player. And those prices had been good. Obviously, I mean, if you'd -- well, I just said how much cost went up quarter-over-quarter, $100 million. And we held out our spread across the company. So I'd say the pricing we've been able to get is in line with what was in the roster.
Operator: We'll go next to Jeff Zekauskas with JPMorgan.
Jeffrey Zekauskas - JP Morgan Chase & Co: In -- how are you doing, in general, in offsetting your higher raw materials with higher prices in Fibers? Are you making progress in that area?
James Rogers: Well judging by the results, I'd say, we're doing okay. I mean, they just had a record quarter. So I know, Jeff, you know how we do it, that it's an annual pricing -- typically annual pricing. But the pulp is set -- is also set annually. So if you read in the month-to-month gyrations and viscous pulp, which isn't ours -- in the pulp market our pricing and our costs are pretty much locked in. The one thing that can move around a little bit is coal, because we do start with coal. But if you look at what percent of our cost, that is small. So overall, I'd say, yes. We did okay when it came to covering our cost supplies.
Jeffrey Zekauskas - JP Morgan Chase & Co: Well, that's what I thought, in that you earned a little bit more than $170 million in the first half, and you expect to earn about $340 million for the year. I would think you would earn more than that, given that you seem to be pricing pretty well versus raw materials and your volume's growing, no?
James Rogers: Well, obviously, we told you what we think. We think we're going to do about $340. I mean, I guess, we're looking at -- what we can see that you can't see is volume by quarter, where it comes out of. I can tell you, for example, when we run Korea full-- Korea, as good as it is, is a little higher cost than, say, Kingsport would be. So the mix can move around, too, a little bit that you can't see so well. But overall, we feel good about the business, Jeff. I mean, we're selling all the total we can make. And I think those are pretty good results reported.
Jeffrey Zekauskas - JP Morgan Chase & Co: Are you worried about propane and propylene spreads in the third quarter?
James Rogers: Not really. Maybe I should be, given that all the conversation people are having around us. But I mean, again I, look at PCI, they got a nice acetyl stream. They have a great Plasticizer business. We are -- whatever the spreads, even if they come in some and remember that was our indication, that was our expectation, second half, they would come in some. We factored that into when we gave our guidance. So obviously, if it does a lot more. I mean, we'll feel it. But again, I don't think you should see us move around quite the same as someone who is just stopping at that point in the value chain and selling out the propylene or ethylene.
Jeffrey Zekauskas - JP Morgan Chase & Co: So what you said in your guidance, if I understand that is that you'd earned about a little bit more than do $222 million in third quarter. And you earned $276 million in the second quarter. And I think, Curt said you had a $0.07 tax credit. So that's about -- your earnings should drop about $0.47 sequentially, which is about $50 million pretax. So where's $50 million drop? Like if you had sort of allocated around the segments. What are the big differences?
James Rogers: I'm going to let Curt help you. But I would say, first half to second half to come off is not unusual. Remember that we're going to eat most of the pain on the unplanned shutdown in this quarter, so -- but Curt, I don't know what color you want to give.
Curtis Espeland: Jeff, I mean, if I had to predict the waterfall, and we'll see how the third quarter plains out. But again, one of the factors is just some of the unplanned maintenance cost associated with shutdowns Jim mentioned. In addition, as we talk about -- we expect the propylene/propane spreads to come back in relative to the peaks of the second quarter. So those were 2 key factors and then some of the seasonal volume decline as Jim mentioned.
James Rogers: So you would see PCI and CASPI probably come off the most. I'm guessing, you'd see Fibers and Specialty Plastics, just was come off a little bit.
Jeffrey Zekauskas - JP Morgan Chase & Co: And then lastly, is there any positive price momentum that you've got from the second to the third quarter? Because I mean, it looks -- judging from your CASPI results, maybe you didn't get as much. You didn't move prices up as quickly as you might have, and maybe some of that momentum will flip over to third quarter. Is there something to that?
James Rogers: I'm not looking at it that way. I mean, we'll see what the guys can do. But I think they actually did a good job of price versus the raws. So it's not like, I think they're lagging on the raw materials, when they have 20% margin or so, I believe. And that's -- I think they're pretty much there. The place where there's probably the most pricing power is -- one of the tightest markets is in the adhesives or the resins part of CASPI, extremely tight right now, and not necessarily any relief coming anytime soon in terms of capacity, other than we're expanding on Middleburg site.
Operator: We will take our next question from Frank Mitsch with Wells Fargo Securities.
Frank Mitsch - BB&T Capital Markets: Jim, regarding your introduction, I still believe you should use your bully pulpit to start a Jeff Ferguson for Senate movement and help troubleshoot the situation here now.
James Rogers: He would've shot somebody by now, so that's probably a good idea he's not in these days.
Frank Mitsch - BB&T Capital Markets: On CASPI, you talked -- actually, I think you were talking about your prices being up nicely, and driven in large part to high capacity utilization. And so I was wondering where you stood in the quarter on your capacity utilization for that segment and where you are were relative to the industry. And any color you can give on the third quarter to date would be great.
James Rogers: CASPI is a running a fairly high utilization, again, the resins piece, for example, is way up there. I mean, basically, if we can make it work, we can sell it. So we're trying to make all we can. Let me use your question, Frank, to talk about utilization across the whole company. I mean, this is one of the things that most people don't understand. They think, "Well, gee, aren't you running out of capacity?" I went back and looked at the numbers, and first quarter, we ran around 90%. We run a little higher this quarter, but what's interesting is even though we had 9% more volume year-over-year, our utilization was a point less than it was a year ago. So between adding the cracker, the capacity creep we get, the acquisition we did, we find some way to get fairly high single-digit volume growth, and yet we didn't have to use up capacity utilization. Let's put it that way. So the parts of the company that are running hard right now are acetyls, which of course, affects a lot of CASPI. The olefins is down, you might say artificially down, because of the unplanned shutdown we had. So olefins would be 10 points lower utilization rates, say, than acetyls. But overall, company running at pretty good utilization rate. But as I said last time, there's more capacity in most of our markets.
Frank Mitsch - BB&T Capital Markets: Okay. Great. And Curt, I believe, when you we're discussing the uses of cash, you said that the goal is to offset dilution and perhaps the opportunistic. And obviously, the last couple of quarters, I mean, back to the fourth quarter -- certainly the first quarter and this past quarter, the rate of share buyback had been well in excess, I would hope of offsetting dilution. Do you anticipate that level of spend to continue here in the back half of the year?
Curtis Espeland: Well we have reduced share count as you have pointed out. I think if you just look through 6 months, our actual share count's down 700,000 shares. You don't see it quite yet in the fully diluted share count, because of some of the timing and when the purchases occurred versus some of the options exercised. If I look about the repurchase level that we're going to have, I know you're probably tired of this phrase, but we're going to continue to do it at a measured pace and continue to more than offset the dilution, as we ramp up the year.
Frank Mitsch - BB&T Capital Markets: All right. So I'll take that as a yes.
James Rogers: He always uses all his rights to do what he wants to do with his cash based upon the opportunities he sees.
Operator: Well take our next question from John Rosenwald [ph] with Rosenwald Enterprises [ph].
Unknown Speaker: I'm a shareholder, and I see a bit of $93.75 in the pre-market and $97 ask. It might be a good time to accelerate some of those share repurchases and take advantage of what seems to be a bargain basement price on the shares in relation to the results.
James Rogers: Well I appreciate the advice. I appreciate you being a shareholder. I try not to think day-to-day, but I haven't had a chance to go look and see what's happening in the market.
Unknown Speaker: I mean it just seems to be ridiculous. We had a $103 stock yesterday, and it should be at $108.
James Rogers: Well, you would have thought record earnings -- let me use your comment. And I appreciate what you're saying. And as a CEO, it always falls on deaf ears, if I complain about my evaluation. But I love the quality of earnings we just turned out. For some crazy reason, people would have been happier, if it come in this material spread as compared to coming across all 4 our businesses driven by the value proposition of our products in the marketplace. So I think we have high quality of earnings. I think sometimes it just takes the market a while to realize what they've got.
Operator: And there are no further questions at this time. I would like to turn the conference back over to today's speakers for any additional or closing remarks.
Gregory Riddle: Okay. Thanks, again, everyone, for joining us this morning. A web replay, a replay in a downloadable MP3 format and the accompanying slides for this conference call will available on our website from 11 a.m. this morning. Thanks, again. Have a great day.
Operator: Thank you, ladies and gentlemen for your participation. Again, this will conclude today's conference call.